Operator: Thank you for standing by, ladies and gentlemen and welcome to the OTE Conference Call on the Second Quarter 2015 Financial Results under IFRS. We have with us Mr. Michael Tsamaz, Chairman and CEO; Mr. Zacharias Piperidis, OTE Group’s Chief Operating Officer; Mr. Babis Mazarakis, OTE Group Chief Financial Officer; and Mr. Evrikos Sarsentis, Head of OTE Group Mergers, Acquisitions and Investor Relations. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that, this conference call is being recorded today. We now pass the floor to Mr. Michael Tsamaz. Please go ahead, sir.
Michael Tsamaz: Good morning or good afternoon to all of you. I’m pleased to welcome you to our call in which we will discuss OTEs results for the second quarter of 2015. I will first comment on developments at OTE and then our markets in the second quarter. Then Babis Mazarakis, our Chief Financial Officer will review our performance and financials. Zacharias Piperidis, our Chief Operating Officer, Babis and I will then take your questions afterwards. If had summarized OTEs strong performance in the second quarter and in the half year in an environment that has not been easy, I would say that our decision to continue investing in network quality and customer service through all these years is clearly paying off. At the group level, we had our best year-over-year quarterly performance in 25 quarters. First half revenues were down 1% another good display of resilience. The stabilization we have talked to you about, while now has continued this part quarter, particularly in Greece and we are confident it would further extended in the right environment. Greek fixed line operations achieved their third quarter in a row of year-on-year growth. We lost only 90,000 lines during the quarter, the smallest connection number since the regulation. Growth in the total Greek broadband market was moderate, at only about 50,000 net additions this quarter, but we accounted for 70% sale over that growth. It had another good day capital of high speed, video cell connections. Our TV offering also continued to do well, we added 11,000 subscribers where as our competition has not been – has not seen any significant subscriber growth in the few quarters. We recently announced our new TV pricing, effective last August -late August, we will soon start broadcasting UEFA Champions League matches and we have renewed our other football rights. So we are optimistic for the second half of the year, all else been equal. The drop in Greek mobile service revenues continued to shrink in the quarter. We're feeling some pressure from the most price sensitive segments of the market. Conversely we had a very strong performance in mobile data which validates our investments in top quality network. In Romania fixed our top line was up slightly but with a less favorable product mix impacted profitability. Romania mobile moved closer to equilibrium and now that we have passed the investor of the final round of late relations cuts which by contrast continued to impact negatively Albania mobile revenues. All told, we had a good first half and would be in a very in a very comfortable position. For the full year we had more confidence in the market situation. Estimates however declined in Greek full year GDP very widely. But regardless of the final number it is bound to have some impact on our performance in the second half, at the same time the launch of the enhanced TV programming and the reduction of our cost base puts us in a good position to face potential issues. On the EBITDA front, we faced a considerable contrast between our Greek and our International operations. In Greece, the combined EBITDA of our fixed and mobile operations was roughly unchanged and the margin up slightly. We are particularly satisfied with 150 basis point improvement in our Greek fixed line EBITDA which does not yet integrate the €30 million in annual savings we expect from the recently completed voluntary retirement scheme. Internationally on the other hand, EBITDA was down significantly in both countries dragging the margins down as well. The main course for this as I mentioned is the shift in revenue mix in Romania fixed towards wholesale and IT projects. In addition, Romanian EBITDA has benefited by about 10 million - last 10 million – last year from disposal of copper and properties, but have not much boost in this quarter. Our focus on operating expenses does not abate, at the group level personnel cost were down nearly 4% and the drop in Greek fixed line would be aligned with the prior quarters where its not for internal transfer of employees from other units to OTE SA. As I mentioned, we successfully implemented additional voluntary exit schemes in Greek fixed line and elsewhere, which will further reduce our cost base. The double profitability in the quarter weight on our operating cash flow, which was also impacted by the increase industry levels. Babis will guide you through a discussion of our cash flow during the period and for the balance of the year. As we just say year, from an internal perspective we remain on track to come close to our €0.5 billion free cash flow target for the year, but with that the alternative factors that could affect it. Regardless of exactly where we ended the year, we will continue to generate significant cash flow and will be well positioned to meet all our obligations. Our aim is also to purse our current CapEx plans and meet the $0.5 billion targets, you are familiar with. To retain our competitive edge but of course we have room to postpone or scale down some projects even the need were to arise You will understand with under this circumstances it is not easy to give you a precise outlook, we had a good quarter and first half, even excellent in Greek fixed line, but there are quite a few unknown factors ahead. What is happened is that we will continue to do everything we can to deliver further top line stabilization through great customer service, sustained or improve our profitability and to generate cash. Hopefully by the time we present our third quarter number we will have more clarity to give you another guidance. This is what I wanted to share with you as an introduction and I will let Babis take over before we take our questions – your questions. Babis?.
Babis Mazarakis: Thank you, Michael. Good afternoon or good day to all of you on the call. Group revenues were up 0.3% in the second quarter of 2015. As we pointed out, this is the best quarterly performance in 7 years, it’s a small increase but it illustrates the gradual stabilization of our revenue base we have discussed for a few quarters now, driven mainly by Greece, but also assisted by the revenues stabilization in Romania. Assuming we also have some stability now in environment we don’t see any of these one way this progressive improvement should continue. The drop in mobile termination rate that was - is possible for the lion share of our revenue assuming in first quarter is now mainly behind us as only Albania is still impacted by comparison with a more favorable regulatory tariff fees. Despite the uncertain environment we face, we have the far better performance in Greece than in our international operations in the quarter. Greek fixed line revenues were up for the third quarter in a row. The 0.6% overall increase are €374 million is a result of a very slight drop in revenues from retail fixed services, offset by increases in wholesale and other revenues. Within retail fixed services, the trends were very much inline with the first quarter of the year. TV services revenues were up more than 70%, broadband more than 11% while voice revenues declined by less than 6%. The whole Greek market recorded disconnections of about 11,000 lines, roughly inline with the previous quarter. However, country you have to work have been the case ever since the regulation for the first time OTE lost fewer lines, just 9000 down the whole market. Somewhat similarly, the Greek market saw about 50,000 net broadband of DCMS [ph] additions in the second quarter, down from 58,000 in the first. But our market share of newer DCMS jumped to nearly 70% this quarter. This compares to a market share of new adds in the mid to high 40s in the previous four quarter and reflects the success of our double and triple play offers. During the quarter, we added another 16,000 new subscribers to our high speed media sales solution bridging the total 127,000. We now have about 3.8000 media sales cabinets in place and expect to install up to another 1000 by the end of the year, expanding our addressable market. We also added 11,000 in new pay TV subscribers in the quarter reaching a total of 378,000 at end of June. Subscriber numbers are continuing to increase at a nice base and we are still expecting to see a more substantial pick up in the second half of the year when we start adding Champions League football games. Let’s now look at our Greek mobile operations, where total revenues were down just over 3% and service revenues were down 4.6% a slight improvement compared to the first quarter of the year. We achieved a second consecutive quarter of strong growth close to 5% in post-paid subscriber numbers, largely driven by the EU sponsor digital solidarity program we discussed last quarter. Pre paid subscriber numbers were down by 2% year-on-year, the smallest steep in a while. Total voice revenues in the quarter were down less than 6% further narrowing the decline. For the part, total data revenue we are up strong 16% reflecting COSMOTE’s leading 3G and 4G coverage. As part of the increase in data derives from digital solidarity subsidies schedule to come to an end in October, we do not expect to see similar numbers in the coming quarter, but underlying growth remained strong, supported by growing smartphone penetration now and presently nearly 47% of the base and by our strong coverage of vendors notably with installation of 4G plus base stations in many key locations in Athens and Hellenic. In quarter one, total revenue from Greek mobile had been lifted by strong growth and subsidized handset sales from digital solidarity. The boost was more moderated in the second quarter explaining this more of the financial between total and service revenues. Revenues from Telekom Romania’s fixed operations were up 0.5% in the second quarter, sliding from a negative top line performance in the first three months of the year. But the drop in retail fixed services wasn’t sequentially down more than 8% with a moderating increase in revenues from TV services and sufficient low to offset somewhat decline in voice and to a lesser extent broadband games aggressive competition The Telecom branded fix mobile offer had another very good quarter. Offsetting the drop in retail revenues, Telecom Romania had roughly unchanged IT project revenues and recorded growth in wholesale. The largest contributor to revenue growth however was the rural broadband infrastructure project which have marginal profit contribution. Having expanded these fiber to the home deployment now are reaching over 1.3 million households, Telekom Romania should be in regular competition positions going forward. As expected now that we have a cleaner base of comparison, service revenues of Telekom Romania mobile stabilized after a period of sharp year-over-year declines from termination rate cuts. We had another strong quarter in mobile data in Romania though the rate growth slowed down sizably compared with first quarter. So the number were up more than 3% reflecting both revenue received from the fixed mobile conversions offering and some revenues from rural broadband project agreements done earlier. We've got a mobile, as well as a fixed line dimension. In Albania service revenue for rev part [ph] mobile operations were up by 17% and revenue stream declined as in the first quarter and once again reflecting last years MTR cuts. Excluding these, we estimate service revenue which has been slightly up. Other group revenues were up more than 10% in the second quarter, once again boost by revenue from the EU funded project aimed at developing broadband access in rural areas in Greece. Let’s now at the rest of our P&L in the quarter. Group pro forma EBITDA it was down 8% to €318 million and EBITDA margin was down 3 percentage points to 33.4%. As Michael pointed out this is really result of two very different situations resilient [indiscernible] Greek operations overall and drops in lower profitability in our international businesses. In Greek fixed line EBITDA was up 4.7% to €144 million and the margin improved another at 150 basis points to 38.5%. Operating expenses, excluding depreciation and amortization and one-offs were unchanged at €232 million and fixed line expenses were up more than 10% due to the transfer of personnel from other group subsidiaries totaled that we discussed last quarter. Fully offset by comparable drop in third-party fees, as well as maintenance and repair expenses. In the quarter, we took a €75 million charge for an early retirement plan related to more than 600 employees, which should result in annualized savings of €30 million starting as of the second half of this year. In Greek mobile EBITDA was down 5.3% slightly more the service revenues and our EBITDA margin was down just 80 basis points to 36.3%. Here too we implemented a net retirement plan affecting over 50 people and we took a charge of nearly €5 million in the quarter. In Romania fixed and mobile EBITDA was impacted by the rural Internet development projects, as well as by the timing of marketing costs associated with the launch of a new fixed mobile convergence offering. In addition in the same quarter last year Romanian fixed EBITDA margin had been affected from proceeds from disposal of copper and real estate, which were not reproduced this year. We think we have policy in Romania on initially to strengthen the profitability of our operations in the country. In the second quarter, total group operating expenses, excluding depreciation, amortization and one-offs were up nearly 4% year-on-year to €644 million. Personnel expenses were for rev part was down nearly 4% to a €173 million. Group expenses other than personnel costs totaled €471 million and we are up 7%. The increase is largely due to costs associated with the rural cost construction projects in Greece and the Romania, which had corresponding benefited revenues, as well as significantly decided the connection costs out of the globe. The depreciation and amortization charge over the quarter was nearly €200 million, down marginally from both last year’s quarter and this years first quarter. Interest expenses was down sharply in the quarter by nearly 22% reflecting debt reduction and the reduction seems the corresponding period last year. After just over €1 billion, net debt at June 30, 2015 was down nearly 6% from 2014 year-end level and by almost 32% from the year ago level. At 0.8 times, net debt to EBITDA wasn’t changed from last quarter. You'll remember that on our last call we told you that the income taxes in the first quarter rose significantly due to a €9 million provision arising from the part of budget is no longer deductible for tax purposes unless it’s formally litigated. In the second quarter these charge of treatment resulted to an additional charge of slightly over €3 million or net down from 2014. Also in addition to the increased tax burden resulting from this non-deductibility in the current period, the corporate income tax rate has been raised from 26% and 29%, which will further impact our income tax numbers in the second half. In the second quarter despite the additional charge, income taxes were down more than 5% to less than €26 million reflecting the drop in profit. After minorities, we recorded a consolidated net loss of €3.6 million in the second quarter. Adjusted for one-off items, including the additional tax charge and the cost of voluntary retirement programs, as well as the reversal of a provision related to the sale of Global in 2015, net income would have been down 35% to €47 million. Operating cash flow generations totaled €237 million in the quarter, down 6% from the second quarter of 2014 reflecting the dropping operating profitability we discussed, as well as higher working capital requirements. Accounts receivable were up by nearly €95 million in the quarter largely reflecting delayed payments by the Greek state both were joint accounts, as well as for a rural broadband and digital solidarity projects. Receivables from retail customers also increased during the quarter, but started to dazzle to get back to normal in July following the end of three year long banking holiday. For the balance of the year assuming that the Greek bailout goes according to current plans, we expect operating cash flow to normalize. In the quarter, CapEx totaled €171 million, excluding spectrum or €179 including spectrum payment in Albania. Excluding spectrum, this represents a drop of nearly 15% from the second quarter last year. We reiterate our full year 2015 CapEx guidance of approximately €0.5 billion. Though we do have some levy to Globex[ph] as a project, including LT and the fiber allowed if it is needed. Adjusted free cash flow totaled €106 million in the quarter. On our last call we confirmed our €0.5 billion free cash flow target for the full year, though the current situation is likely to have an impact on our free cash flow, we are still confident that we should be able to get close to the target assuming we receive a good part of the payments currently owned by the Greek state entities. These sums up the point I want to make about the quarter that was very satisfactory increase in the bit challenging international. Our operating environment in the second half will be unsettled. In July, following the imposition of capital controls, we saw a deep in hour’s daily collections, but [indiscernible] is gradually returning to normal. And we shouldn’t extrapolate if few of the quarter from the performance in one particular volatile month. We also believe we are in a good position to make the best of whatever ratio we will face. Now Michael, Zack and myself are now ready to answer your questions. Operator.
Operator: Thank you very much. [Operator Instruction] Your first question comes from the line of George Ierodiakonou [Citigroup] Please ask your question.
George Ierodiakonou: Good afternoon. I got a couple of questions. The first one is operational and it’s around access line trend that you mentioned, the big decline in the retail access line losses. But you delivered at this cost. I was wondering whether there is any special reason behind it, whether it’s something sustainable. I know one of our competitors closed down in June, whether it’s a one-off impact because of that or something we should expect going forward? And then my other two questions are – linked is around working capital and product provisions I know its early days and it’s hard to extrapolate what happen in the next five months. But there are some worrying indications out there about significant increase in unpaid fees to the public power company there. Can you give us an idea what you've seen in July, whether it’s in the tens of millions or hundreds of million, that kind of unpaid fees that you see? Thanks.
Michael Tsamaz: Regarding your first question on the access lines, I would just – I would like just to remind you that five years ago there was losing something like 400,000, more than 400,000 lines per year. Actually it was 430,000, we do not expect that this quarter will be let’s say - you have to multiply this quarter by 4 to see the forward looking trends that was an impressive quarter. Of course it has to do with the market development. But what we can say is that we can commit to the same, let’s say impressive performance we had last Q, because we have put all of our forces behind the investments and the customer experience improvements that we have put in force. So I would say it’s something that we can commit.
Babis Mazarakis: And on the working capital and receivables front, as we described in the speech we - the first weeks of the capital controls of course they are not reflective of the future, because indeed we saw a dip in the collection for the first three or four weeks. But right after there is a gradual improvement on the behavior of the retail and the private sectors payment. So we expect to the extent that things are getting normalized, the behavior of the performance will become gradually more normal. As we said, we recognized that the Greece state is currently being occupied with the bailout program in the agreement with the international creditors. And therefore we expect that once this will be resolved gradually - actually it’s part also of the agreement that gradually some of the bailout fronts will be flown back to the state in order to pay the private sector. So if we continue all this together, going forward we expect that the experience we had in July gradually will be normalized and coming to normal. But of course we need to review this and we’ll have more color in the Q3 results.
George Ierodiakonou: Okay. Just last one, follow up on the first answer you mentioned the behavior of the market in the quarter has been good. Could you perhaps elaborate a bit more, is it specific companies effectively closing down or some of the active ones also be more rationale in that behavior?
Michael Tsamaz: It seems that not only from the onsite, but also from the other players, there have been a little pressures, financial pressures on their operations and definitely these might influence their performance.
George Ierodiakonou: Okay, thank you.
Operator: Your next question comes from the line of Luis Prota [Morgan Stanley]. Please ask your question.
Luis Prota: Yes. Thank you. Two questions please first is on your prepaid customer base and whether in July you have seen the level of recharges going up, going down or any particular trend that might indicate changes to the choice in lot of the normal patterns for July on the back of the uncertainty, on the macro uncertainty? And the second question is on the tax rate is 26% to 29% increase I want to confirm that these rates were active for the full year and if so whether we should expect in the third quarter or the fourth quarter a big charge to capture that increase from the first half? Thank you.
Michael Tsamaz: As Mr. Mazarakis mentioned before, it’s a bit dangerously let’s say to extrapolate the behavior of one month let’s say to get the results for the next 12 months. However, we would be quite satisfied if let’s say July results would be let’s say following the next five to six month. So overall we have seen - we haven’t seen any significant deviation from the previous months. On the prepaid, which you correctly mentioned that usually takes the first hit, I would say that we have seen roughly the same behavior. So overall I would say that July was not a month that would give us, let’s say lot of our lamps for the futures. But as Mr. Mazarakis has mentioned, it’s too early let’s say to draw the conclusion for the rest of the year and also for 2016.
Babis Mazarakis: Now regarding the tax rate, the 20% from 26% to 29% in Q3 of course we will calculate again our tax impact basing to 29%. And we expect these to have current income tax of €10 million higher. But it will be paid of course with the tax declaration 2016. On the other hand, because we are positive, we can defer tax assets, because of our structure, there will be benefit in the P&L of due to the tax rate change of about €23 million. So overall in the tax computation, not [indiscernible] how strange that might look, who will see a positive impact, plus 23 my instant, so you will say about €13 million of positive impact. And these would be shown as whereas I said, gradually sine when we’ll announce the Q3 results.
Luis Prota: Okay, thank you.
Operator: Your next question comes from the line of Vikram Karnany of UBS. Please ask your question.
Vikram Karnany: Yeah thanks couple of questions. Firstly, in order to achieve the free cash flow guidance in 2015. How much room do you have to scale down in terms of projects and what could be the kind of scenario minimum CapEx to reach that fee cash flow outlook for 2015 of $500 million. And secondly in terms of EBITDA development this quarter, specifically at group level it was down, I understand mainly due to with Romania. But in general you have been kind of proactive in terms of measures and on cost savings. So can you kind of understand in terms of how are you moving ahead in terms of setting potential pressure in terms of competition that you are seeing in Romania and is there more to do in terms of cost savings in that particular unit specifically?
Babis Mazarakis : Vicky, to your first question regarding the cash flow achievement, the answer is yes, there is a levy to scale down CapEx project if of necessary. And then I - let me underline the word necessary because everything depends on the behavior of the collection which as we said before gradually 10 ten buck. So without wanting to reveal specific numbers, I can assure that we are in a very good position to scale down projects of CapEx if that is deemed appropriate. And on - in order to get closer to be achieving so far from this targets for the free cash flow for €0.5 billion, and for 2015. On the EBITDA development as you very correctly pointed out, there is a polarize affect between Greece and Romania and at a group level we - I think we mentioned before in the speech, we are reinforcing our core saving activities in Greece in the second quarter onwards. With the addition of the voluntary retirement scheme numbers, €30 million on an annual basis, €15 million we'll be putting in our P&L in 2015. And in the Romanian market which is much more competitive in terms of pricing, they are also pursuing programs in place. And we need sometime some quarters to - in order to stabilize the pricing pressures that we are feeling from competition through our initiatives, which are around the fiber to the home development of our network and 4G development in our mobile sector. And so there are pressures in top line in Romania, but also we have specific cost saving programs in order to offset hopefully all of it.
Vikram Karnany: Okay. That’s fair. Thank you.
Operator: Your next question comes from the line of Stam Draziotis [Eurobank Equities] Please ask your questions.
Stam Draziotis: Yes. Hi, there. Thank you very much for taking my questions. May I start with one on the Greek market and aftermarket capital controls? It’s interesting to have seen that you have not really changed your outlook statement regarding the Greek market. Could you just share with us what you have been seeing lately in terms of competitive moves and price competition and I’m mainly referring to the mobile market here. And as far as Greek fixed is concerned, I’m just wondering whether you anticipate VDSL take up to strengthen, potentially inline with the pay TV take up in each tour, whether you think that the deteriorating macro end the squeezing disposable income will lead to a slowdown in this segment?
Michael Tsamaz: Yeah actually for the mobile market we have seen in the first two quarters, I would say a rather stable market development and slightly improving from minus 5 to minus 4, which is consistent with our outlook for the market, which we believe that it will range somewhere there. So in the mobile market we do not foresee, let’s say any, at least point in time and let’s say major deviations from this outlook. On the fixed side of course, we have certain developmental plans in place in our case. Our so-called focus on growth related with the VDSL and the TV. As you know we have made an investment, significant investment on the TV content and we expect that this will start to pay off. Our VDSL numbers quite strong and we have seen the reaction of the people being quite positive. And actually in the recent I would say one or two weeks, also the TV is showing encouraging, let’s say trends, because it’s also the beginning of the Champions League period. So of course we cannot predict what will happen, let’s say in the macros. However the first signs at this point in time are quite positive for the end of the year.
Stam Draziotis: Okay, that’s clear. Thank you very much. And question number two has to do with Romania which has proved a very tough market. I mean, in Romania six weeks we saw the run rate of retail revenue drop, deteriorate this quarter. I’m mainly interested in your strategy going forward in the context of this intense competition. Do you I mean, do you anticipate the situation to improve following, I don’t know the company’s re-branding and these investment you've made recently or do you feel that the whole strategy needs to be reconsidered in a sense?
Michael Tsamaz: I think it’s too early to access the outcome of the strategy. We have put that in place. The FMC proposition, which is doing quite well for the time being and we place ourselves off the most relevantly, let say FMC provider in the country and also we have invested on the fiber, which you know that its an investment which takes some time, let’s say to give returns. Of course, there are aggressive players in the market targeting TV or mobile and in order let say to address these challenging conditions we have to stick behind the plan of the FMC and we hope that this will give us let’s say recovery on the existing trends.
Stam Draziotis: Okay, that’s clear. And last question which would be for Babis, I guess. You mentioned this and 1 million or 10 million headwinds coming from the absence of copper and asset sales on the revenue front. What was the contribution of these assets sales in two place and on the OpEx front, I think I can see that our costs, excluding our personnel were up about 14 million year-on-year. I can see that interconnection expenses were up about $2 million or $3 million, but there seems to have been a significant increase in marketing distribution and other costs. So I’m just wondering the extent of which there were one-offs during this quarter, potentially associated with marketing et cetera?
Babis Mazarakis: Regarding the real estate numbers we had last year in the second half of 2014, you should assume something like close to €6 million for first half of 2014, which may not – I’m saying may not because there are some plans to dispose off some remaining assets, but may not be reproduced in first half of 2015. So this is one item. The second item on the cost side for, I guess your question it was referring to the cost structure of Romania and it was followed in the speech that on the cost side we have some inflation due to the implementation of the EU subsidized rural net program, which is the rural part of broadband in Romania. So this works at a very small margins equal in revenues and cost. And on the other side there was some increase in the connection cost because of the wholesale activity that is there, plus the fact that ICT programs and the ICT revenues that as we saw possibly to stabilize revenues or to bear some cost and sometimes the timing between the recognition of the revenues in ICT programs and the cost is a bit, not symmetric and it maybe up or down in a specific quarter. So all these are things that for the specific quarter inflated the cost of the base of Romania and the digitalization of these we hope they will be normalized in the coming quarter.
Stam Draziotis: Okay. Just to follow up, so would you say for example of this inflation you talked about had an impact of, I don’t know an extra 4 million r 5 million or just we have some idea, or was it like a high single digit number, maybe?
Babis Mazarakis: No it was about €8 million.
Stam Draziotis: Okay. That’s helpful, thank you very much. Thank you.
Babis Mazarakis: Thank you.
Operator: Your next question comes from the line of Stanley Martinez [ph] Please ask your question.
Unidentified Analyst: Good afternoon, gentlemen. Just turning back to working capital if I could, looking at the cash flow statement it appears that Q2 was a €65 million used at the group level was actually a positive 4.3 million contributor to cash flow at OTE SA. So just wondering did outstanding receivables in the Greek state and local authorities and payables to OTE SA suppliers actually worsened in July from the end of the quarter. And maybe one way to address it is if you could share anything on cash flow generation in Q3 to date or perhaps to July year end cash balance, relatively to the €1.09 billion. Normally I wouldn’t ask for a monthly number, but if you don’t have at hand, I think it might be worth you know filing it in 8-K after the call?
Babis Mazarakis: Okay. Let me just start from your second part of the question and try to describe the trend rather than the specific numbers, which we may take on in other times. July was a very peculiar month with the capital controls very strict in the first two to three weeks, a bit more relaxed after that one. And any conclusions that can be drawn from this four of five weeks, past four, five weeks is not - cannot be multiplied by the next of the year. I’m saying this because what they can’t confirm is that indeed in the first two weeks we saw a dip in our collections from the retail base, which was expected because people try to understand what was going on. And what I can confirm also is that, right after the accretion of the capital controls and the restatement of dunning [ph] activities, we have seen a gradual increase on the collection from the retail customers which tends to be normalized, tends to come closer to the pre capital controls era. This is for the retail part and also for the, lets’ say non-state part of our receivables. On the state part of our receivables, I think it was clear that the Greek states has basically frozen payments to the private sector and in the past month and - but we expect that according to the agreed plan with the European authorities, the new bailout program will be concluded in the coming weeks and part of the bailout program intends to go to the state in order to pay back to the private sector the receivables. So keeping all this under the radar before this happen, then we expect a normal course of our receivables to be reflected in the coming two quarters. And as I said that will allow us to reconfirm that we are getting pretty close to our guidance of €0.5 billion of free cash flow. But of course these are positions to the two things that I mentioned before.
Unidentified Analyst: Yes. That’s really helpful Babis and its consistent with the tone of what you said, July trading conditions were like overall. Can I just confirm that the Greek state and Greek local governments are combined sort of a 10% area type of customer, is that the right sort of proportion of their influence on your revenue?
Babis Mazarakis: The Greek state is not…
Unidentified Analyst: State and local…
Babis Mazarakis: Sorry.
Unidentified Analyst: Yeah state and local, is it – does it combine to sort of you know sort of 5% to 10% total revenue at OTE.SA?
Babis Mazarakis: On OTE.SA, it’s close to 5% to 7% in the given range because each year there are specific products that may or may not happen. But if you are going to have a very rough calculation, if you use between 5% and 10% of OTE.SA revenues you are not very far.
Unidentified Analyst: Perfect. And then just to confirm have you targets changed at all on the TV subscriber accounts relative to the 387,000 subs at quarter end. I mean, do you still think that with the Champions League rights and the pricing of the new three and four play bundles relative to fourth net that you can get to you know 500,000 clients.
Michael Tsamaz: It depends on the time horizon that you are referring to. However, as you know the Pay TV business is a season, has certain seasonal trends. This Q that we are running is very, very important for the delivery of our numbers. The yearly signs are quite positive. So we believe that we can reach our internal targets and actually the last two weeks are quite encouraging.
Unidentified Analyst: Okay. Well, thanks and well done on the commercial execution domestically.
Michael Tsamaz: Sorry.
Operator: The next question comes from the line of Jonathan Dan [ph]. Please ask your question.
Unidentified Analyst : Hi, there. One question and one follow up. I think in one of the bailout budgets, the Greek government talked about a new spectrum auction, I assume they are referring to 700 megahertz auction. Have you heard any or do you expect that to happen in say 2016 or 2017. And then a follow up, has there been any update on the VDSL expansion plan or any I guess it’s unlikely there’s been any discussions with the regulators in the last four to eight weeks?
Babis Mazarakis: Regarding your first question, we have heard and we have read potential plans regarding the spectrum of the 700. But we cannot be certain that this will happen in 2016. I think that we’ll be in a position literally to know what will happen in the next month. And actually regarding the regulator of discussions, we would be willing, let’s say to engage to be engaged in discussions with the regulator. But as you know, so far there is no regulator appointed after the resignation of the previous regulator. And so as we understand these discussions are now being put.
Unidentified Analyst : And its – so for VDSL rollout, you basically an limbo in the rollout until…
Babis Mazarakis: No, not referring, I’m not referring to the investments on our rollout, I’m referring to the potential models of the future related with the factoring or the other NVA [ph] strategy that we are going to put in place.
Unidentified Analyst: So it’s all of the new investment, it has to be in limbo, but I guess till there is somebody to negotiate.
Babis Mazarakis: Hold on a moment. The VDSL rollout, our plans on development or the infrastructure continue our run on are not in limbo or we will implement the plans as we have them. Okay?
Unidentified Analyst: But will you…
Babis Mazarakis: We expect we will as a commitment. So no, our investments are not in limbo. We’re talking about the future, the regulation regarding future plans for the country. But the investments or the plan to make on VDSL were going ahead in full speed.
Unidentified Analyst: Okay, so where are you on VDSL coverage at the moment and is it like 30% coverage there or there about?
Michael Tsamaz: No, it’s close to 40%.
Unidentified Analyst: 40%. And will you extend that coverage?
Michael Tsamaz: Yes, this is the plan.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line of Maurice Patrick [Barclays] Please ask your question.
Maurice Patrick: Yeah hi guys, this Maurice from Barclays. Sorry I missed the first part of the call, so apologies if the question has been asked. But just in terms of the change in lines in the quarter where you saw competitor market lines falling and also you share of broadband VITA lines going up, were there any material changes in competitive activity during the period, please?
Michael Tsamaz: Yeah as I mentioned to you – as I mentioned before, we had quite an impressive share in terms of broadband connections with - of course it’s an outcome of our performance and also the weak performance of our competitors. It seems that some of them may face certain financial issues, but I cannot be more specific.
Maurice Patrick: Okay, great and just as a follow up. Do you still intend to be actively buying debt in the market the next quarter or two?
Michael Tsamaz: We have been doing so, I would say opportunistically in the market in the past few months, in the past year I would say. On the outstanding issue of which matures in May 2016, we have repurchased a bit over 10% exactly €70 million so far. We are not actively pursuing this type of repurchases, but on an opportunistic basis according to the market situation conditions.
Maurice Patrick: Very clear. Thank you.
Operator: Your next question comes from the line of [Indiscernible]. Please ask your question.
Unidentified Analyst: Hello thank you taking my question. I see that you are referring to the foreign operations. You have said that international operations remain under intense competitive pressure. Is this pressure only due to pricing or is it also due to kind of a lack of confidence to a Greek company. What’s your picture, how are you seeing? Thank you.
Michael Tsamaz: Speaking about Romania, Romania is considered as one of the most competitive markets in Europe; actually it might be the number one in terms of the telecom comparative lines. So it doesn’t have to do with us or with [Indiscernible] So it always doesn’t have to do with a market development. Romania is a low ARPU market with scores which are close to the Western European markets and plus the number of players that we have in each of the market is quite high. So the market structure is not favorable, the combination of these things creates an environment where let’s say the returns are quite low.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Stam Draziotis [Eurobank Equities] Please ask your question.
Stam Draziotis: Yes I had two quick follow us please, actually additional questions. First one has to do with any more aspect from payments this year in Albania. And second question would be with regard to the growth rates, revenue growth rate in Greek broadband and voice, if you could give us an indication of the magnitude please, decline for voice obviously and growth in broadband?
Michael Tsamaz: You are referring to the rates related with the developments on the broadband and on the voice. There are certain, let’s say underlying trends which influence the results for the market. One of them would be let say a substitution fixed mobile, the other one is the penetration of the households in broadband which is still low compared with other European markets. So there is room to grow on the broadband path and this is why we have this growth rates in the market. However, the number of players is diminishing and this is also influencing the levels of advancements. In terms of voice, I think that the Greek market in the mobile is running at roughly the same pace like in most European markets, excluding Germany or maybe Poland. So overall, I would say that we have roughly the same pace.
Babis Mazarakis: And regarding spectrum payments there are no any other payments due in Albania for the remaining of 2015.
Stam Draziotis: Okay. Thank you very much.
Operator: Your next question comes from the line of [Indiscernible]. Please ask your question.
Unidentified Analyst: Good afternoon. Thank you for the presentation. I missed part of the call, so apologies if you have already answered a question. But could you reconfirm as you did previously that the cash you held is still in foreign banks and maybe you have some other liquidity that you could use at September bonds, and whether you have additional plans to kind of fund out trade below plan?. Thank you.
Michael Tsamaz: All the forecast balances are in safe places. And regarding repurchase of debt, we are – I think we mentioned before that sporadically we do some buybacks from the market in –now in our May '16 bond, this program just sporadic buybacks depending on the market conditions and situations.
Unidentified Analyst: Okay. Thank you.
Operator: We have no further questions at this time. Please continue.
Michael Tsamaz: So thank you very much everyone and see you in the fall. So have a good summer for the ones who really would take a vacation. Operator, thank you.